Miles Roberts: A huge welcome to everybody for presentation on our full-year results ending April 2022. I'm Miles Roberts, the group's Chief Executive, and apologies for my voice, that I currently have a bit of COVID. And of course, as always, I'm joined by our group Finance Director, Adrian Marsh. We're pleased with our performance, a performance that's been delivered in what was a challenging trading environment. The marketplace remained very dynamic throughout the whole year, which did result in good opportunities for profitable growth. Our performance in security and supply, innovation, service and with the environment were all very good and clearly recognized by our customers. And this performance led to record volume growth, our price increase in packaging offsetting the cost inflation, a record profitability for the second half of the year and, very importantly, an H2 pro forma return on capital employed of above 12%. This was aided by a strong cash flow, which meant that for the full year, our net debt-to-EBITDA ratio was 1.6x, the low for many years. And looking ahead to the current financial year, in spite of the continuing volatile market conditions, we have started well, and our expectations remain unchanged for the coming year, where we expect to make further substantial progress -- substantial improvements in our performance. And as such, the full year dividend is being increased by 24%. Thank you. I'll now hand over to Adrian, who'll take you through more detail on the financial results.
Adrian Marsh: Thank you, Miles, and good morning, everyone. By way of my normal reminder, I will describe the performance of the business on a constant currency basis. Here are our financial highlights. Revenue was up 26%, reflecting record box volume growth and the higher prices across packaging, paper and recycling. Together, these more than offset significant cost increases of nearly £1.3 billion, with operating profit up 29%. Return on sales before adjusting items increased 10 basis points. Whilst margins are growing, the rate of growth is impacted again by the significant cost rises, which take time to recover through pricing. In addition to this, we also buy and sell a large amount of paper, OCC and energy, the prices of which, as you're all aware, have increased dramatically over the last 18 months. And this increases revenue and costs on a gross basis with limited impact on profit. Profit growth has flowed through to EPS and cash strongly, and I'll talk more about our continued net debt and leverage reduction shortly. Our key financial metric of return on average capital employed has significantly improved, which, of course, did not have the same nuances for margins and demonstrates more immediately our improvement in returns. The significant improvement in profitability through the second half means ROACE was within our target range at just over 12% for the second half of the year. I'll now go through the main moving parts with the usual bridges. We have broken out the packaging revenue from the totals and also the price/mix to help you understand the impact of the pass-through of external sales, paper recyclate and energy on return on sales. Record box volume growth of 5.4% contributed £203 million to revenues. Other volumes is a mix of increased volumes of other packaging and recycling, offset by lesser external paper sales as we use more internally. The largest increase is clearly the sales price increase. Just over £700 million of the £1.279 billion is packaging pricing, representing box price increases of over 20%. The balance is made up of external paper being the majority, energy and recyclate sales. Turning to EBITA. The contribution from volume growth has dropped through in the normal way. Other volumes is the same story as on the revenue side, with less external paper sales offsetting increased other packaging volumes. Sales price/mix dropped straight through to profit, and it is, of course, reflective of our strong business model that we've been successful again in pushing through pricing to more than offset the very significant headwinds on the cost side as well as managing the impact of those costs through our proactive procurement and commodity hedging. On the cost side, the largest contributing factors are external paper purchasing together with OCC, which together make up just over £700 million. Energy, labor and distribution costs also have increased significantly. As a note, given the benefit of pricing on our energy sales and our energy risk management, the net impact of increased energy costs was limited to around £175 million. Overall, group margin has increased, albeit, as I noted before, there is still a short-term dilutive impact from the input cost versus price inflation dynamic, which unwinds itself as the rate of price pass-through exceeds the rate of input cost inflation. Regionally, there are always variances depending on the level of our own paper production, which gets exaggerated when paper prices are either rising or falling sharply. Eastern Europe is the area where we are shortest paper. And until the usual lag in pass-through to packaging completes, the effect on margin is, therefore, greatest in that region in this period. In Northern Europe, return on sales reduced by 80 basis points, reflecting the greater impact of lower-margin external recycled fiber sales and also where the impact of energy sales revenue is highest, together with greater cost inflation, than other regions. It is particularly pleasing to see the expected and continued improvement in Southern Europe and North America, where we historically made significant acquisitions. I'm also pleased to report continued good cash flow for the year. After an exceptional working capital performance last year, I think we've done very well to improve despite a rising pricing environment. I'd note, within the working capital, we benefited from an inflow of £109 million from the risk management of our energy hedges, which has positively benefited our creditors. This benefit will reverse next year. And if paper, OCC and energy prices remain fairly stable year-on-year, we should expect an otherwise flat working capital performance. After the £109 million I've just mentioned, we still have around £714 million of in-the-money energy hedges with high-quality counterparties, which provide us protection over the next 3 years. We've also again reduced our invoice discounting to £381 million, in line with our guidance of below £400 million. Moving to the cash flow bridge. Net debt reduced by £311 million to less than 1.5 billion, which is now back to almost 2017 levels prior to the Interstate and Europac acquisitions. This improvement was driven principally by the free cash flow. As guided, adjusting items have reduced to a negligible number, and there's no cash impact from the impairment of our associate in Ukraine. And the acquisitions and disposals line is the net of the sale of De Hoop and a couple of minority interest buyouts. Clearly, one of the highlights of the results is that net debt-to-EBITDA is now back to well below 2x, driven by both an increasing EBITDA and reducing absolute debt levels. As usual, you should also consider the Interstate put option of around £100 million, which we expect to be exercised this autumn. Had this been exercised prior to the year-end, our leverage would have been around 1.7x. One of the other key highlights is the momentum in ROACE, which for us is a key metric of shareholder return. As expected, it reduced as our 2 transformation acquisitions had an initially dilutive impact, as did the sale of our Plastics business. Of course, I can't claim we expected COVID, but in the last year, despite a number of macroeconomic challenges, we have performed strongly with half 2 back in our target 12% to 15% range. As you know, the last few years have seen a major focus on reducing our leverage, albeit we have continued to invest in our business. I thought it would be helpful for us to talk a little bit about our capital allocation priorities. In terms of our key financial metrics, we want to maintain our investment-grade credit rating with Standard & Poor and keep our net debt-to-EBITDA ratio below 2x. Miles will talk more about our opportunities to invest to support growth with our customers later. And principally, we expect that to be via organic investment in our business, investing in projects that give a return on capital over 15%. We will also maintain a progressive dividend. We've built a strong platform over the last 10 years, and any M&A will most likely be bolt-on in nature and meet our criteria for strong financial returns. Also, to be clear, we're extremely mindful of our capital structure and shareholder returns, and we will return any surplus cash to shareholders. Finally, my technical guidance. These are the usual line items you've come to expect. Of note, you see the CapEx before any disposals is expected to be around £500 million, an increase in the year just gone and ahead of depreciation as we invest in our existing packaging and paper assets, which Miles will talk more about in a minute. Within working capital and absent any further risk management, I'd expect the reversal of the hedging derivative margin benefit of £109 million I talked about earlier. We're also expecting to pay out £100 million for the final element of the Interstate put option. As a reminder, approximately 85% of our revenue is non-U.K., so 1% move in sterling equals around £7 million in operating profit. And finally, I'm pleased to say that as of today, I do not foresee any exceptional or adjusting items at all this year. I'd now like to hand back to Miles.
Miles Roberts: Thank you, Adrian. We continue to focus on delivering for all of our stakeholders, our customers, our people, our communities and the environments in which we all live in, to ensure that we continue to deliver. We continue to focus on delivering for all of our stakeholders, our customers, our people, our communities and, of course, the environments in which we all live. It's to ensure that we deliver ongoing strong financial returns. The overall market conditions remain very changeable. Whilst the overall economic outlook remains challenging with supply chains disruptive and high inflation, there's a significant amount of change within our marketplace, and that change provides good opportunities for our business. First, in the packaging volumes, the FMCG sector. We're expecting this to remain solid. And this is due to a number of factors. Firstly, on the plastics replacement. We are seeing ongoing acceleration in our customers moving away from plastic into fiber-based solutions. With e-commerce, whilst in some markets it has declined recently, such as in the U.K., but other markets, such as in France and Italy and Spain, continue to show good growth. And of course, e-commerce uses more fiber-based packaging than traditional bricks-and-mortar stores. And we're seen changing in the retail formats. We're seeing growth again at the discount sector and the convenience sector. These have grown at the expense of the large-format general grocery stores. And of course, they use more packaging. And very importantly, we're also seeing an ongoing change to the demographics. Consumers are shopping more frequently. They're going -- they're buying smaller baskets, smaller pack sizes. This provides good opportunities for us. And of course, regionally, whilst the U.K. continues to be probably the most challenged market, we see good conditions remaining in the U.S. and Eastern Europe in particular but also in Southern Europe. And whilst the FMCG sector is expected to remain solid, we have seen some softening in the short term in the industrial sector, and this is really due to lower discretionary spend by consumers and the supply chain effects of the Russian invasion of Ukraine and the COVID outbreak in China. This has been in certain categories such as automotive, discretionary consumer expenditures such as slow-moving consumer goods as well as some large capital equipment as well. So how do we exploit these opportunities? We remain, rightly, very overweight in FMCG. It's built on long-term customer relationships. 50% of our business is under multiyear contracts. We have consistently outperformed the market with growth of over 2.5%, and we've experienced good growth in FMCG throughout the whole of last year, including the final quarter. We're accelerating the innovation pipeline aided by increased investment, new testing facilities and our physical and virtual impact and innovation centers. Specific developments with customers to replace plastics. We've replaced over 300 million units of plastic with a turnover of about 80 million since 2020, and this is an accelerating trend. Good opportunities, taking plastic into fiber, but also in the primary pack, where we're seeing customers looking for corrugated solutions because of the lower carbon and additional strength they offer compared to carton when they're coming out of plastic. And security of supply has been of major importance as supply chains have been and remain under pressure. Our U.S. business continues to grow strongly. We're opening new packaging sites with significant advance orders in Poland and in Italy. And the new year has started fully as we've expected. So our current expectations for volume growth during the current year we estimate to be in the range of 2% to 4%, with an H2 weighting due to strong comparators. Our confidence in managing the inflationary environment is built on a focus, firstly, on cost and, secondly, on pricing. So firstly about costs. We have good ongoing productivity improvements across the business. It's based on an extensive knowledge of lean manufacturing, which we call the DS Smith Way, but also the way we sell our packaging that's based on a performance basis, which allows us to reformulate, reduce cost and wastage. This, combined with our global sourcing, long-term supplier relationships, the use of financial hedging and longer-term pricing agreements as well, give us confidence to mitigate a lot of the underlying inflationary environment. But of course, it's about pricing as well, the pricing of our packaging. We sell on a value-add, a total cost value creation basis. Nearly 50% of our contracts are indexed. And the indexation normally allows for costs, in addition to paper costs, to be passed on to our customers. Just over 50% of our contracts are, therefore, freely negotiated, and these, by implication, allow for any cost to be negotiated really at any time. So the result has been, over the year, our packaging prices increased by more than 20% with Q4 showing the highest quarter-on-quarter increase of 9%. And looking ahead, we expect to see further indexation coming through, the annualization of the price increases we've already achieved and further price increases to recover future costs where necessary. And turning to our environmental performance. Well, firstly, we're a fully fiber-based business. We don't have to apologize for having a plastics business. Our approach to sustainability is summarized in our Now and Next strategy that covers many aspects of environmental performance that tie into our customers' plans. And these include a commitment by us made this year to a science-based target for carbon reduction of 1.5 degrees, which aligns with the requirement of our customers. And further progress has been made with CO2 reduction. There's been a further 5% reduction in CO2 per tonne in the current year, bringing it to 29% since 2015, which averages over 4% per annum. And of course, many other improvements such as lower water usage, lower waste to landfill, et cetera. And we're very pleased that many of the external rating agencies have recognized our ongoing commitment to the environment and our improved performance mainly with enhanced ratings such as MSCI, where we're AA, and obviously, CDP, where we're at an A-. It's not just about delivering an enhanced environmental, we must also grow and deliver value from our leadership in the circular economy. We've made a lot of progress in this area, but there remains substantial further opportunity. And as an example of how we're seeking to extract value from our performance, we have developed our circular design metrics, which we've discussed previously. These allow customers to assess with clear metrics the environmental performance of their packaging, rates of improvement and how this progress relates to their own sustainability agenda. The measurements are established with the support of the Ellen MacArthur Foundation, of which we're the only global strategic fiber packaging partner. And the metrics cover those such as recyclability, carbon reduction, reuse, material utilization. All our designers and sales teams have been trained in this, and now an increasing number of our large and some smaller customers are adopting these standards, and we currently have over 2,000 live projects. With a strong forward work plan, all these projects are tied to the medium-term development plans of our customers. And it's one reason for the acceleration in our rate of plastic replacement with fiber-based packaging. And with our people, our communities, we continue to receive great support from everybody who works in DS Smith. This is shown and supported by our ongoing investment in training and development. We have industry-leading health and safety performance, and they've been particularly demonstrated during the whole COVID pandemic. And of course, it's really supported by a lot of the great work and communication we have right across the group with the works councils. And therefore, we've seen a very consistent, very stable, 10-year average length of service for -- across DS Smith. Looking forward, we see good opportunities to continue to profitably grow our business. We are centered in developed markets where there's a strong rule of law; customers that demand high standards and expectations of performance; a growing market where we have scale, substantial capability and resources. Recent acquisitions such as Europac with ongoing capacity to allow us to grow and expand, and we're very pleased to see that business achieve its original acquisition target of a 12% return on capital in the full year '22. And a U.S. business that is growing strongly with high margins aided by the investment in the new packaging capacity in Lebanon. It continues to be developed. We have a strong pipeline of opportunities from our customers. And of course, the new packaging sites. The new site in Italy is now operational, and the site in Poland is currently being commissioned with operational status expected in the next couple of weeks. Both have already received commitments from customers that make up 80% of their maximum capacity by the end of the second year of ownership. And as such, combined with their excellent operational capabilities, we expect the return on capital from these assets to be between 15% and 20% in the third year of operation. And reflecting this confidence, meeting the needs and demands of our customers, staying ahead of the competition, we see further opportunities to strengthen the business through organic investment, combining the latest technology and capabilities to meet the ongoing demands of this dynamic market in which we operate in. And these growth investments fall into three broad categories. One is investing for growth by systematically enhancing the capability and efficiency at existing packaging plants, particularly using the new technology coming out from the developed new digital capabilities; the further alignment of our paper capacity with our growing packaging demand for lighter weight, stronger papers in regions such as in Italy; and of course, continuing to invest behind our environmental commitments, where we're diversifying our energy sources such as the construction of a new biomass energy plant in rural -- in Northern France. And again, all growth CapEx have hurdle rates of return, in our targeted existing business, about 15% pretax. And so turning to the outlook. Our end markets remain volatile and challenging, but our expectations for the current year have remained unchanged. It's built on good momentum developed during the last financial year that has continued into the start of the current year. We expect our full year volumes to be in the region of 2% to 4% growth on a like-for-like basis. We're seeing ongoing productivity and cost improvements and, of course, continued progress in recovering inflationary costs through higher packaging prices. And we expect all of this to lead to an increased return on sales and an increase in the return on capital employed, resulting in a substantial improvement in our performance. Thank you very much. Myself and Adrian are now very happy to take any questions you may have.
Operator: Our first question comes from the line of Lars Kjellberg from Credit Suisse.
Lars Kjellberg: And starting with the volumes. Clearly, this market, as you pointed out yourself, is very uncertain. I guess your own volume growth slowed to the range of 1% to 2%, which seems to be a bit short of the market growth. So if you can comment why you thought you didn't quite make it to the market growth. But also, I'm curious about how you think about the visibility into saying that, that 2% to 4% growth number would be somewhat back-end loaded. And on that note, of course the structural driver of sustainable packaging is quite important. What sort of visibility do you have on that number in terms of the pipeline that you have and how you can see that as an offset to some of the cyclical pressures that you talked about on the industrial side? That'll be my first questions.
Miles Roberts: Thank you. Thank you. You're absolutely right that the outlook is volatile. It has been. But in that volatility and that dynamism, there are obviously quite a few opportunities which we've already talked about. In the second half, I think, at the moment, if you look in the first half/second half, you just have to remember this is all comparatives; this is all relative to our comparators. And in the previous year -- we had extremely strong growth in the second half of the previous year. Hence, it's just a lower position. We are absolutely sure we've continued to take market share. I don't think there's any question about that at all. In terms of visibility, clearly we don't know for certain as to how the market is going to perform. We have a lot of experience of working through different -- in different types of economic condition. We have a number of recent awards from our customers. We have the new sites that are starting up. And frankly, that is -- so -- and whilst we see some weakness in the industrial sector, the guidance of 2% to 4% is our current best estimate, and the way we're trading now and we continually forecast that is -- that's very much where we see them. In terms of sustainable packaging, you're absolutely right. As I said, we don't have a -- we don't have anything in plastics at all. And here, we've aligned what we're doing to our -- to the sustainability agenda of our largest customers. And those metrics, those design metrics that I talked about, as I said, we have over 2,000 live projects, and that's all -- well, the majority of that is with our larger customers. The thing is this is a plan of work, it's not just for now. It's, over the next few years, about getting plastic out of their packaging. It's one of their top objectives. And here again, though, we have -- this all comes into us sort of why we feel -- why we've given that guidance on volumes. It's partly down to that. So the new sites, we've got the orders. We've had, call it, a few nice awards made to us with our sustainability agenda. And of course, lastly, we have the U.S. as well, which is -- just continues to strengthen all the time and is doing very well. So that's basically where it comes from. But thank you, Lars. Thank you.
Operator: Our next question comes from the line of Cole Hathorn from Jefferies.
Cole Hathorn: Two, if I may. The first one is just following on around the demand trends. Could you just give a little bit more color? You called around e-commerce. It's been exceptionally strong over the last 2 years, particularly in the U.K., and it's interesting that you're calling out the weakness there. But potentially good e-commerce near term in other regions. So just the near-term e-commerce trends you're seeing and then whether you continue to expect e-commerce to be a positive driver longer term is the first question. And then the second one is around your free cash flow and your energy hedges. You've guided for an outflow of kind of £110 million as those benefits you've harvested this year go out. But I'm just wondering how you think about managing that energy -- those energy assets you've got from your hedging, how do you think about managing your credit risk there?
Miles Roberts: Yes, thanks, Cole. If I take the first and Adrian will talk through the hedging. Now e-commerce has been a -- has -- we see e-commerce as a long-term growth objective. It's a big opportunity for us. We see countries at different levels of penetration. But overall, we've had a view of where we think e-commerce will get to over the next 5 and 10 years. The pandemic accelerated that for the reasons we all know about. And then in some markets that really were very well developed and e-commerce was there, such as the U.K., following the reopening of the high street, we've seen that the e-commerce has softened, but it still remains ahead of where it was prior to the pandemic. And we think whilst it's come off, it will carry on increasing. So in like the U.K., there's no reason why we think it can't get to the same level as it is in the U.S. But very interesting in other markets, I think people found that without that e-commerce offering, the ability of shoppers to buy, to purchase during the pandemic really, in some ways, accelerated the move to e-commerce. So we still see good growth in many markets. I've called out a few such as in Spain, France and Italy. But we still have the rest of Eastern Europe to go at as well. And that's at an earlier stage, but it is coming through. So we still see good medium- and long-term growth opportunities there, and we continue to trade in that manner. But Adrian, do you want to talk about the hedging?
Adrian Marsh: Yes. Thanks, Miles. Thanks, Cole. Yes. No, as you say, I mean, we're in a position -- a good position, but it's a position that we didn't particularly have to manage over the previous few years where we've now got if you included the £109 million, over £800 million worth of in-the-money hedge contracts on our balance sheet at the moment. What we do is we have a number of strong credit counterparties, quite a few of which, by the way, are on this call today. And we have strict credit limits approved by the Board against all of those counterparties. And as those limits fill up because we get further in-the-money on the contracts, the only option we have is we can either increase our credit limits or we can add additional counterparties that may not be of the same creditworthiness, or we can look to free up capacity through cash collateralizing. So effectively, the -- we receive in cash, the -- a proportion of the in-the-money benefit, and that allows us to continue with our hedging program. So that's effectively what we've done. That £109 million will reverse for sure. However, what I can't say is whether at this time next year, we've taken similar actions. It will literally depend on where energy markets are at that point in time and the valuation of our derivative contracts. That continues upwards, and we have to continue hedging further years, which we do. Then you could expect the same again. But at the moment, the only thing I can guarantee is that the £109 million reverses.
Operator: Our next question comes from the line of David O'Brien.
David O'Brien: Three, please. Just to go back to Lars' point maybe, on the volume guidance, 2% to 4%. Could you please kind of add for us maybe what is going to be the contribution from Italy, Poland and, I think, the U.S.? So essentially, I want to get a feel for what is the actual like-for-like volume guidance. Second question. You touched on, Miles, just aligning capacity to customers' needs on the packaging side. Could you just give a little bit more color as to what you actually mean when you talked about bottlenecking or investing in new capacity in paper? I just -- I'd like to understand that a little bit more. Finally, yes, maybe for Adrian. Have you guys got any maturities or debt maturities coming up just given the rate environment's cost or increase in costs we should expect it would have -- maturities have to [Indiscernible]?
Miles Roberts: Okay. Well, look, on the volume, we have given that guidance. The new site is, the one in Poland, to be operational at the end of this month. We're pretty confident of that. The one in Italy has started up. Obviously, you get a -- there's always a bit of a slower ramp-up and then acceleration. So for this year, maybe there's -- I mean, it's in our existing business. It's the [Indiscernible] that have been made. It's just part of the ongoing growth in those regions. You think about the capacity. If we get to about 1/3 for them, there could be 1.5% to 1% that's coming from that. And assuming the U.S. it has and continues to grow organically much better than the rest of the group, I mean, we could have actually grown a lot more in the U.S. last -- over the last 12 months if the labor market hadn't been so tight. We had increased our number of staff. We have been hiring quite aggressively, but the market has been extremely tight. And that has just resulted in us just holding back from taking on some new awards that we were able to take now. The good news is that, that is certainly coming a little bit better at the moment. The labor market is freeing up a bit. So we're very pleased with that. But the bulk of it, as I said earlier, we do have some softness in the industrial, but it's more than made up for with the ongoing growth in our core FMCG business with a number of new awards, the whole environmental debate. And that's how we see things at the moment. There is ongoing investment behind this. I have called out that we are -- in paper, we have obviously got a number of existing facilities in some markets and again linked to this whole inflationary environment. As you know, we have a short paper position, which we are extremely pleased about. It gives us all the flexibility that we need. But in some markets, it is a bit tighter, and one of those is Italy, where we have a big, substantial mill there already. And we'll be looking to continue to invest behind it just in all trim and sort of paper grades that are made. So it isn't an overall increase in capacity. It's just lining what we can produce to where we think customers are going to be over the coming years. Adrian, do you want to talk about the debt maturities?
Adrian Marsh: Yes. So we do have two maturities coming up. We have our regional SCA acquisition financing, U.S. private placement that matures. It's a couple of hundred million. That's at rates of, I think, about mid-4% that will come off, that will be repaid. We've also got our first public debt issue, which is a euro bond of about -- I think it was €500 million, and that's at 2 1/4%, I think, fixed that, that will be refied. As it stands, we'll be refinancing them through our own liquid resources. And to the extent that we require any additional borrowing against those, it will be through short-term liquidity. So bizarre enough, you should expect a slight improvement on interest costs because of those. Now if we do decide at a point in the future to term out interest rates where they are today would be probably -- I mean, as it stands today, they'll be probably slightly lower than the blended fix of what's coming off. But at the moment, I'll expect that to be refied through short -- through our own liquidity and short term. So there'll be a small benefit.
Operator: Our next question comes from the line of Sam Bland from JPMorgan.
Sam Bland: I have two questions, please. First one is on the return on capital. I think you now just got into sort of 12% versus that 12% to 15% target. So should we kind of view the current level of profitability as more something like a normal level rather than some kind of cyclical peak? And the second question is there's a lot of growth CapEx going in here. You've got a £500 million number. Obviously, not all of that is growth. But could you just talk about where the growth CapEx is going? Is it sort of big, identifiable projects like Poland and Italy or all the things?
Miles Roberts: If I just start a bit on the growth CapEx. You want to talk about the return on capital, Adrian?
Adrian Marsh: Sure. Yes, absolutely.
Miles Roberts: But on the growth CapEx, we have a -- you said Poland and Italy. We have a major expansion in -- of a factory in Germany which has commenced, and, again, it's all backed by ongoing customer demand. We then have a number of extensions of our existing facilities to meet the growing demand, and these projects tend to be more in the sort of the £20 million to £30 million range rather than kind of like the £50 million, £60 million range for a larger facility. During the year as well, I think we'll be coming back and just talking about our plan for further growth in the U.S., where I said the demand for our packaging is very strong. And all of these growth CapEx, we see returns above 15% return on capital, and that is exactly what we're seeing with the new plants we've just opened. And it's on that basis -- it can be turned off, it can be turned back on again. They aren't sort of huge projects or massive commitments in there, but that's certainly how we see things at the moment. But Adrian, on the return on capital?
Adrian Marsh: Yes. So on return on capital, Sam, I think the -- once we take into account the original -- well, the two recent very large acquisitions that now -- the most recent is more than 3 years ago, and we've absorbed the goodwill that naturally happen with -- inevitably happens when you make an acquisition. So that capital base is now in the business, and we've got the rhythm of the returns coming through on that. And where the business is today, if you take away -- if you look at where consensus is for next year even or this current financial year and you look at it on the return on capital base -- on the capital employed base rather, then you'll see our expectation is that we continue to operate within our target range. And I can't see anything on the horizon that gives me concern against that. It's just literally digesting those 2 transformational acquisitions that we made 3 and 5 years ago. And we're now back in the zone, as we said we would be, and we're quite comfortable with that.
Operator: The next question comes from the line of Brian Morgan from Morgan Stanley.
Brian Morgan : Can you give us just an update on your short-type positions? So how many tonnes short you are? And then another question, if I may -- if I may ask, on containerboards. You've spoken previously about Italy being quite tight and some supply-demand conditions being quite tight in certain areas and perhaps not in others. Could you give us an update on where we are there and where supply-demand is tightest?
Miles Roberts: We -- our overall short position across the group is currently about 800,000 tonnes. That does include our long position in the U.S. During the year, we sold an asset, a paper machine in the Netherlands. We see the Netherlands and Germany as continue to be heavily oversupplied, new capacity coming on. We have absolutely no [Indiscernible] whatsoever in bringing that paper -- in buying that paper on the external market. But there are some other regions which you've often spoken about and that being behind a number of investments that we've made where the market is more balanced, is a bit tighter. And there, we do have significant assets. And one of those areas is Italy. It tends to put more -- it's got a net short position in Italy. We have a very substantial mill there that provides most of our needs for our business. We do buy on the open market, and that's been absolutely fine. We're just looking ahead and thinking about what are going to be our customers' future requirements in which markets. And in a place like Italy where I think it will be a bit tighter going forward, then clearly we have the opportunity to invest in our own capacity whilst all the time just basically utilizing the substantial free capacity there is in the German market where the return on capital you'll get from those assets is significantly below our target range. We know that because there are a number of people up for sale at the moment who we're looking at -- or rather where you can see how they are -- where they're performing.
Operator: Our next question comes from the line of Cole Hathorn from Jefferies.
Cole Hathorn: Just a follow-up on the wider industry supply environment. We have seen a number of conversion announcements over the last few years from graphic paper into packaging paper. I was just wondering what you're seeing from a supply environment across Europe at the moment. Are you seeing or hearing of any of your industry peers having new capacity delays, et cetera? I'm just wondering how you see that supply growth medium term.
Miles Roberts: Well, kind of in summary, I think in and around the German market, it'll continue to be very, very well supplied. A bit tighter elsewhere. But in their own journey, you're absolutely right, Cole, there have been some rumors of more capacity, some more conversions being made into testliner, but they're all around this -- in and around that sort of German market. So, as I said previously, we will -- we continue to enjoy the benefits of that. In other markets, I mean, there are some rumors there could be a bit coming on in the U.K. I mean we'll wait and see a bit in -- into Iberia as well. We just have to -- we'll have to see. But, I mean, the good news is that the market is ripe, and that's why people want to -- are looking to invest, because the structural drivers of fiber-based packaging remain very positive as opposed to some of those other categories, graphic papers. I mean interesting also, there's a bit around carton as well, carton board. I mean it's obviously very popular. But we're seeing -- again, we're seeing customers moving -- looking much more closely at corrugated solutions as opposed to carton because of the lower carbon, because of the strength opportunities that it has. So we think the market is still looking positive, hence there will be investment.
Operator: Thank you very much. I will now hand you back over to the speakers.
Miles Roberts: Well, thank you, everybody, for your time. Thank you for your interest. And just to say we're pleased with the progress for last year. But we've entered this year with momentum. I think we're going to have ongoing volume increases. We've got the new sites -- I suppose both new sites coming on. And overall, we're expecting a substantial improvement in our overall performance for the year ahead. Thank you very much for your time.